Operator: Ladies and gentlemen, thank you for standing by. Welcome to Aptar's 2022 Second Quarter Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Introducing today's conference call is Mr. Matt DellaMaria, Senior Vice President of Investor Relations and Communications. Please go ahead sir. 
Matt DellaMaria: Thank you. Hello everyone and thanks for being with us today. Joining me on today's call are Stephan Tanda, President and CEO; and Bob Kuhn, Executive Vice President and CFO. Our press release and accompanying slide deck have been posted on our website. If you are following along on our website, you can advance the slides by hovering over the presentation screen and clicking on the arrows on the right and left. As always we will post a replay of this call on our website. Today's call includes some forward-looking statements. Please refer to our SEC filings to review factors that could cause actual results to differ materially from what we are discussing today. I would now like to turn the conference call over to Stephan.
Stephan Tanda: Thank you Matt, and good morning everyone. We appreciate you joining us on our call today. Some of you may be aware that Matt will be retiring at the end of this year after 32 years of dedicated service to Aptar. We are thankful for Matt's leadership and will have time to wish him well over the coming months as he transitions his role to the experience and very capable hands of Mary Skafidas who joined us just a little over a month ago. Mary joins us from the Loews Corporation, where she most recently served as the Head of Investor Relations, Corporate Communications and ESG for many years and has prior leadership experience with McGraw Hill and Toyota Motor. Now let's turn to slide 3. As you can see Aptar delivered a strong second quarter. Each of our segments contributed positively to our top line growth for the quarter, as well as for the first half of the year. Growth in our second quarter was achieved by increased volumes and pricing initiatives. Our team achieved this solid performance during an exceptionally dynamic and uncertain period. I think it is important to note that we are very well-positioned for continued growth. The areas of our business that were negatively impacted by the pandemic such as our prescription drug consumer, health care and beauty solutions are now recovering. We are investing in capacity in our pharma and beauty segments following our regional manufacturing strategy that will allow us to grow with our customers as they also benefit from life returning to a new normal. Our CFO Bob Kuhn will review some details from the quarter later on in this call. But first I would like to touch on some highlights. Aptar Pharma achieved double-digit core sales growth with increased volumes across all our major health care markets. Our prescription business has worked through the 2021 destocking situation and is ramping up towards pre-pandemic levels. Higher sales of our delivery devices for allergy, emergency and pulmonary medicines drove the growth in the prescription drug market. As many people around the world experienced cold and cold-like symptoms including from COVID-19 Omicron infections, demand for nasal decongestion and other cough and cold treatments increased briskly in the consumer health care market. Demand also increased for our injectable medications components and Active Material Science Solutions even with tough year-on-year comparisons. Profitability in our Pharma segment is within our target range and includes the previously anticipated dilutive impact from our recent digital health care acquisitions and some start-up costs related to our expansion of our elastomer components capacity, which is on schedule and expected to progressively come on stream starting in late 2022, throughout 2023 and into early 2024. In our Beauty + Home segment increased demand from the beauty and personal care markets, as well as our pricing initiatives, contributed to double-digit core sales growth. We saw significant year-over-year sales increases in prestige fragrance, facial skin care, color cosmetics hair care and sun care. Beauty + Home margins are recovering in Europe and China, but are being held back by continued labor shortages in North America and uneven demand in Latin America. We will not be satisfied until we move, within our long-term target range and we will continue to diligently manage our costs while we prepare to implement further price adjustments to recover the input cost inflation. Finally, growth in our Food & Beverage segment was driven primarily, by pricing with volumes up slightly. A softening of demand in the food market especially in the US, following a period of strong growth was offset by increased volumes in beverage. Margins reflect the weaker food volumes, as well as the effects from inflation. Turning to Slide 4. I want to take a moment to talk about a key priority for Aptar, capital allocation. We deployed over $3 billion in the past 5.5 years, balanced across investing in our business, making acquisitions and returning capital to shareholders in the form of dividends and share repurchases. In the first half of 2022, we had capital expenditures of approximately $150 million. The majority of these expenditures were in our Pharma segment, including expansions in the US, France and China. We also returned over $100 million to shareholders through dividends and share repurchases. We are in our 29th year of paying an increased annual dividend total, and we have repurchased shares every year since 1999 except of course for 2020. Moving to Slide 5. Another steadfast focus has been ESG. And we are pleased to share the many milestones and achievements surrounding our progress in 2021, with the release of our annual corporate sustainability/ESG report, which is prepared in accordance with the global reporting initiative standards and shows our alignment to the UN Sustainable Development Goals. We also published our second UN Global Compact Communication progress report. In addition to publishing new summaries for SASB, the Sustainable Accounting Standards Board and TCFD the Task Force on Climate-related Financial Disclosures. We are actively working toward a more sustainable future for all, as we develop faster ways to deliver critical medicines, enable families to recycle more plastics and improve our operations to reduce greenhouse gas emissions. This priority is not only good for our planet, but it's good for business helping us mitigate enterprise risk, and I'm convinced helps us to future-proof the company. Aptar is known for its focus on innovation, quality and services that go far beyond drug delivery dispensing or packaging. Our technologies are often used, across a number of markets we serve and we participate in a number of new product introductions each quarter. Turning to Slide 6. Our Pharma segment continues to supply nasal delivery devices, for the administration of emergency medicines, such as the opioid overdose antidote naloxone, where we supply the leading brand as well as several generic players. A new acne dermal medication recently came to market with our ALS pump system. Also our components for injectable medications, have been chosen for use with a variety of drugs in the US. As shown on Slide 7, in the beauty market we supplied solutions for several new launches in the quarter, including multiple new fragrance launches in Europe and Latin America and facial skin care and hair care product in Asia. Regarding China, specifically, our multinational Western customers who are doing business there, as well as our local customers, are quite bullish as things begin to open up and we were encouraged with the level of activity we saw in the quarter. Also on slide seven in the food and beverage markets we continue to see squeeze performance come to market using our custom pouch treatments and flow controlling closures, while we help a local Chinese food company launch a new powdered milk infant formula using our sealing and dispensing closure. We also are encouraged by the demand for our foodservice trade technology which can enhance freshness and extend shelf life and have been adopted by a major fast food chain in the US. This latest product is from Aptar CSP Technologies, a company we acquired in 2018. Many of our shareholders know this part of the business because of the extraordinary growth it achieved during COVID supplying test kit manufacturers with its Activ-Film technology. Another application of its film is for protecting and extended the shelf life of food. This is a great example of selling one technology across multiple end markets. And these are but a few examples of some of the new applications brought to market with our solutions in the quarter. With that, I will now turn it over to Bob who will share some additional comments on our quarterly results. Bob? 
Bob Kuhn: Thank you, Stephan and good morning everyone. I would like to summarize the quarter starting on slide eight. Even with the considerable currency impact this quarter, our reported sales grew by 4%. When you equalize the effects of currencies, Aptar had solid core growth of 10%. Approximately half of the increase was driven by volumes and the remainder driven by price initiatives implemented across the majority of our markets. While sales were positively impacted by these pricing initiatives margins remain compressed as costs are being passed through on a one-for-one basis. As shown on slide nine we achieved adjusted earnings per share of $0.96 and adjusted EBITDA of $160 million. We continue to face ongoing inflation, supply chain disruptions, and labor shortages, primarily in the US. If we isolate the net inflation impact including the margin compression impact from passing on the higher cost our consolidated adjusted EBITDA margin of roughly 19% would have been approximately 100 basis points higher in the quarter compared to the prior year. While we continue to make progress with our pricing initiatives, we have not yet fully recovered the prior year's cost increases. For a more balanced comparison, keeping exchange rates constant with the current year and adjusting for restructuring and acquisition costs, the prior year's second quarter earnings per share would have been $0.85 per share compared to our adjusted EPS of $0.96 for the second quarter of 2022. The year-over-year improvement was driven by strong results in our Pharma segment and continued recovery in Beauty and Home. Slides 10 and 11 cover our year-to-date performance and show the 11% core sales growth in our adjusted earnings per share, which were $1.92 compared to $1.89 a year ago including comparable exchange rates. Turning to some of the details by segment for the quarter. Our Pharma segment's core sales increased 12% with approximately 9% coming from strong demand and 3% coming from price adjustments related to inflation cost recovery. Pharma's adjusted EBITDA margin was 33%. Looking at sales in each pharma market. Prescription core sales increased 15%, primarily due to the continued recovery in demand for allergy, emergency medicine, and pulmonary drug delivery devices. Consumer health care costs increased 13% on strong demand for devices used primarily with nasal decongestants. Our elastomer solutions for the injectables market grew core sales 9%, primarily due to higher volumes including for biologics and pricing initiatives. Turning to our Active Material Science Solutions. Core sales grew 5% on demand across a variety of applications, led by active material science technology for probiotics and oral solid dose solutions. Turning to our Beauty and Home segment. Core sales increased 10% over the prior year first quarter, with 7% of the growth coming from price adjustments related to inflation cost recovery, as well as good volume increases in certain markets. This segment's adjusted EBITDA margin for the quarter was 12%, slightly higher than the prior year and included a net negative inflation effect of approximately $1 million in the quarter, which is already on top of a very high level of inflation in the prior year. Neutralizing the negative effects of passing through the cost inflation, EBITDA margins would have been approximately 120 basis points higher in the quarter compared to the prior year. Looking at each Beauty and Home market. Beauty market core sales increased 19%, due to very strong demand for our pumps, especially in the prestige fragrance and facial skin care markets. Personal Care core sales increased 6%, due to higher demand for hair care and sun care dispensing systems. Home Care sales decreased 17%, primarily due to a reduction in tooling sales and lower demand for household cleaner dispensing solutions. Turning to the Food & Beverage segment. This segment achieved core sales growth of 8% in the quarter. Pricing initiatives related to cost pass-throughs, contributed approximately 6% of the core sales growth in the quarter. This segment's adjusted EBITDA margin was 13% in the quarter and was impacted by softer demand for food dispensing closures and the resulting lower productivity, primarily in North America, following a period of strong growth in the prior year. Although the inflation impact was offset by lower resin costs in the quarter, we still have not fully recovered the inflationary effects from the prior year. Looking at each market, Food core sales increased 8% due to price adjustments and increased demand, primarily for food service solutions including food trays. Beverage core sales increased 11%, due to price adjustments and demand for our bottled water dispensing closures. Interest costs in the current quarter, was approximately $12 million, versus approximately $7 million in Q2 of 2021. The increase was driven mainly from our first quarter $400 million 3.6% bond offering and higher interest rates from some of our local foreign borrowings. Additionally, we incurred approximately $400,000 in prepayment charges for a $75 million private placement issuance that was set to mature in Q3. Going forward, we expect our interest cost to be lower than Q2 by approximately $1.3 million. Year-to-date, cash flow from operations of $177 million and free cash flow of $42 million are slightly ahead of the prior year levels. Moving to slide 12, which summarizes our outlook for the third quarter, we expect currency headwinds to continue, reflecting the continued strengthening of the US dollar. With the majority of our sales coming from outside of the US, this impacts us significantly. Although we are seeing some recent relief in resin prices, other input costs remain challenging. Additionally, supply chain issues in the very tight labor market, primarily in the US, puts additional pressure on our Beauty and Home and Food and Beverage businesses. The euro rate for the prior year third quarter was 1.18 and our guidance for the coming third quarter is assuming a 1.02 euro rate. As a reminder, we have said that roughly for every $0.01 move in the euro rate that equates to approximately $0.02 per share for the full year. So for the coming quarter, we could be looking at approximately an $0.08 currency drag on earnings compared to the prior year. We expect our third quarter adjusted earnings per share to be in the range of $0.90 to $1 per share using an estimated tax rate range of 28% to 30%. The midpoint of our guidance range represents a 10% increase over the prior year third quarter adjusted earnings per share, when currency translation effects are equalized. Looking to our current estimate for depreciation and amortization, we currently expect $230 million to $240 million for the year 2022. And for capital expenditures net of any government grants, we currently expect between $290 million and $320 million. In closing, we remain committed to maintaining a strong balance sheet. Our current leverage ratio of 1.8 allows us to continue to grow shareholder value by selectively investing in our business as well as weather challenging economic environments. At this time Stephan will provide a few closing comments before we move to Q&A. 
Stephan Tanda: Thank you, Bob. In closing on Slide 13, we have started to emerge from the effective COVID only to find ourselves facing new economic uncertainties, having exposure across multiple end markets such as prescription drug, beauty, personal care, food and over-the-counter pharmacy products and with the presence in 20 countries makes us more resilient to shifting cycles and downturns. We understand that capital allocation is especially paramount in times like these. Our strong balance sheet allows us to help mitigate the effects of a potential downturn in the global economy as we selectively and prudently look to allocate capital to grow our business. In the decade prior to the pandemic, our pharma business delivered an average core sales growth of 8%. This segment is now a much larger part of our business today than it was in 2009, when we navigated the global financial crisis in good form. We are particularly encouraged by the current recovery of our prescription drug and consumer healthcare market. And our order book supports the expectation of continued strong momentum in the second half of the year. In addition, our project pipeline continues to strengthen in both number of opportunities and in value, as stringent regulatory standards increase and as our customers continue to explore new ways to deliver medicines. Our investment in R&D as well as laboratory analytical services has positioned us at the forefront of drug delivery innovation, whether it be liquid, powder, single-dose, multi-dose and via routes such as needle, pulmonary, ophthalmic, dermal, oral or injected our broad portfolio of innovative devices components and active material solutions will enable us to grow consistently in the healthcare sector for many years to come. The beauty business is expected to continue to recover and our customer-centric focus with a deep history of innovation positions us to take advantage of the evolving and growing facial skin care markets in both Western markets and in Asia. We will remain focused on pricing initiatives to help offset continued rising input costs and managing our expenses. I'm confident that we can achieve our long-term profit margins across each of the businesses as we move forward in the new post-pandemic era. Our broad portfolio of innovative solutions and services, diverse market presence and our solid balance sheet give me the confidence that we will be able to continue to navigate turbulent waters, return value to shareholders in the form of dividends and share repurchases as well as take advantage of growth opportunities that present themselves. With that I would like to open the call up for questions.
Operator: [Operator Instructions] Our first question comes from George Staphos with Bank of America. George, please go ahead. 
George Staphos: Yes. Hi, everybody. Good morning. Thanks for the details. My two questions. One is on start-up costs particularly around Pharma. And then I had a question on the operating leverage in Food and Beverage. Stephan, Bob, could you tell us what level of start-up costs you might have had in the businesses in 2Q, and as you look out to 2022 what your expectations are? And in particular if you could provide some granularity on Pharma particularly as regards to injectables? And then on Food and Beverage obviously some really good core revenue growth a lot as pricing we get it. But I was a little bit interested in the lack of operating leverage in Food and Beverage despite the growth, despite the pricing, EBITDA was down there. If you could provide us a bit more color in terms of what was going on underneath the hood there? Thank you. 
Stephan Tanda : Sure. Good morning, George. Look as you know, we are deploying about $180 million in capital in our injectable divisions and that's over a number of years. We're starting up capacity latter part of this year all next year and into the following year. So we will have the tune of a couple of million dollars every quarter of start-up costs, as you prove out the equipment as you validate with customers bring on labor ahead of revenue stream. So I think that's about the order of magnitude. In Food and Beverage, it is really this is a double whammy. One is if you have lower volumes the efficiencies in the plants really go down, especially in North America that are tuned to high volumes. So that's really what you see.
George Staphos: Okay. I mean, can you just give us a bit more content of what was going on within food? You had commented in the past that you were encouraged by the pickup in food. There's kind of a delayed improvement there during the COVID cycle, and you were encouraged I think in total about that level of activity being able to continue going forward. Are you suggesting now that that probably was a one-off bump that comes down? And if so sorry for the double dip here, how do you deal with that? Thank you guys. I’ll turn it over.
Stephan Tanda : Yes. So let's separate the demand picture from the margin in the quarter. So from the demand picture, clearly, we benefited from much more in-home consumption of food, in cooking and boosted our condiment segment. On the flip side, the lack of moving around dented our on-the-go beverage. Now we're kind of finding a balance in the new normal. And the balance is clearly in condiments we are tapping the brakes of -- the market tapping the brakes. I don't think it will work completely. As we all know the new normal is hybrid work. So people do spend a significant amount of home, but they also go out and eat out more. So I think this is just an adjustment to a new demand pattern. And on beverages, clearly, people being out and about we see the growth in beverages.
George Staphos: Okay. Congrats to Matt and to Maria as well, and Matt's it's been great working with you. Thank you, sir. 
Matt DellaMaria : Thank you George. Same. 
Operator: Our next question comes from Mark Wilde of BMO. Mark, the line is yours.
Mark Wilde : Thanks. Stephan I wondered if you could just update us on what you're seeing in terms of European activity your commentary during the prepared comments made Europe sounded a little better than I might have expected. And then if you could also just talk about what you and your customers are doing to prepare for potentially a rough winter from an energy perspective in Europe?
Stephan Tanda : Sure. Let me tag team with Bob here, but let me kick it off. So, let's first separate the demand pictures from the cost picture. So, from the demand side, we're really encouraged by what we're seeing. We have a very strong order book in pharma in our most profitable divisions prescription drug, as well as consumer health care. And we see that, continuing in the second half of the year for sure of quarter three. We also see good demand pickup in beauty. Now, remember, and not all, and maybe by short – long shot, what we sell to our European customers is for European consumption. A lot of the finished products get exported to Asia, get exported in part also to the US and that is really driven by demand around the world for things like luxury fragrances, prestige fragrances, skin care, where we record and comment on the demand in Europe, it is really a demand benefits from just overall people being out and about more, traveling more, travel retail picking back up, and that really helps us. On the cost side, clearly, Europe is in the throes of substantial inflation, and that really comes in – it's different than in the US. One is energy. Maybe Bob, can talk to how we manage our own energy costs. But that's not the whole picture. Of course, most of our suppliers are less sophisticated and backed with their energy purchases. So we just get it in the form of additional input cost on the supply side anything from metal springs, to aluminum parts, to transportation. So this energy triggered inflation in Europe is substantial. And then the second part is wages. So, we actually anticipate higher wage costs in quarter three. Some of that is one-off. And maybe I'd just remind everybody, we about to deploy about 2,500 people in the US, but we employ more than 8,000 people in Europe, 5,000 of those alone in France. And all of those employees have representation and labor relations are very tense as massive inflation is putting strains on household budgets, especially for entry-level, workers low wage earners. In the US, you've heard us say that, we had to raise entry-level wages by 30%. In Europe, we anticipate one-time payments in quarter three. Some of them are strongly encouraged by the government, for example, the French government. And yes, if you look out, maybe we will not have these onetime payments in quarter four, but this is a taste of things to come. Most wages and salaries are adjusted on a calendar year basis. So we'll have some one-time impact in quarter three, included in our guidance. But clearly, wage inflation is a topic. And maybe it's a stronger topic in Europe than it is in the US. Now maybe Bob, you can highlight some of our own energy setup in purchases. 
Bob Kuhn: Sure. Maybe Mark before I do that, I'll give you a little bit of quantitative color on the first part of your question, which was Europe and the strength. In fact if I look at all of our regions, we were up in core sales in all the regions, but Europe was actually up about 15% in the quarter on a consolidated basis. And it actually was up double-digits if I look at each segment in Europe. So Europe was definitely strong in the quarter for us. Turning to the energy situation, particularly, in Germany which seems to be the biggest focus these days. We've got essentially guaranteed supply for all of our electricity in Germany. And I think the government itself has a certain backup possibilities as it turns to electricity front.  The real question is around gas. And for us, we only use natural gas to primarily heat the facilities with a few small exceptions in some of our plants on some decorating machines and things like that. But for the most part gas for us is primarily used for heating. So in theory, the machines themselves injection-molding machines they do throw-off a certain amount of heat. Now as Stephan said, we cannot control what is how our suppliers are run and the indirect impact that will have on that. But we look at this risk as low to minimal for us in the second half of the year. 
Operator: Our next question comes from Kyle White of Deutsche Bank. Kyle, please go ahead.
Kyle White: Hi. Good morning. Thanks for taking my question. Just two parts real quick on that one. I was wondering if you could quantify that onetime payment that you expect in the third quarter that's included in your guidance? And then related just on price/cost. It looks like price/cost does continue to improve here sequentially, but you still noted that you haven't recovered last year's cost increases. When do you expect that to be recovered? And how should we think about price/cost going into the second half? 
Stephan Tanda: Yes. Maybe on the first one we baked in about $0.5 in the third quarter guidance of that onetime payment. 
Bob Kuhn: Yes, I can take the point on the net price/cost impact. So we were slightly positive in this quarter, which is again the cumulative effects of the pricing initiatives that we started last year as well as I would say a little bit of a flattening of the raw material curve. We're still in the hole by I would say roughly about $30 million. Last year we had about $28 million of a net negative. We had another $5 million in the second quarter. Now of course this $0.05 that Stephan is referring to will also be another inflationary impact. But again, a lot is going to depend on what happens around the raw material prices going forward. But again, we're going to continue to be very diligent in passing those through. We've been very transparent with our customers on that. It's impossible for me to tell you when we will recover that delta of about $32 million. It's hard for us to quantify with all the uncertainty that's out there right now. 
Kyle White: Got it. And then I'll follow, is that -- the $0.05 is that mostly in Beauty and Home? And is this something that you expect to have to pay as a onetime payment next year as well? 
Stephan Tanda: So this is really spread across all of our business. When you look at our geographic footprint obviously, we have many more pharma and beauty facilities in France that we have in some of the other countries but it's -- in principle it's spread across all the businesses, they are active in Europe. And I think this will be all baked into whatever the outcome of wage negotiation is with Unions and Works Council and this is done on a site-by-site and country-by-country basis. But to ensure continuity of operation for us this year in the context of European and country labor relations this is required. And as I said in some cases the government basically holds your hand very strongly to do this. 
Kyle White: Thank you. I will turn it over.
Operator: Our next question comes from Ghansham Panjabi of Baird. Ghansham, please go ahead.
Ghansham Panjabi: Yes. Thanks. Good morning everyone. And Matt big congrats to you. It really has been a pleasure working with you over the years and congrats on your retirement. 
Matt DellaMaria: Thanks guys.
Ghansham Panjabi: First off maybe – yeah, thanks Matt. Maybe you could just disaggregate for us the various end markets within Beauty and Home? And give us a sense as to where they are from a volume standpoint relative to the pre-COVID baseline? 
Bob Kuhn: Sure. I can tackle that one Ghansham. So if you looked at the Beauty. Beauty was up about 19% in the quarter. And again, that was on the strength of the prestige side of the business, although masstige was also up, primarily fragrance, facial, skin care. And we are seeing improvements in color cosmetics as well. We're not yet at 2019 volume levels, but we're getting very, very close. If you look at total sales dollars of course, we're above 2019 because of the pricing. But we're very encouraged by the volume growth that we're seeing if you -- we talked -- I talked about the 7% of the 10% being pricing in Beauty and Home which then naturally leaves 3% for volume, but that 3% is muted a little bit by a decrease in tooling sales in the quarter. So just as a reminder, when I announced core sales growth that ex-acquisition not including acquisitions and the actual product sales on the Beauty and Home side, excluding that tooling negative impact would have been closer to 5%. So again, very encouraged by the volume growth and if that continues we should start to see us surpass the 2019 volume levels, when we get to the second half of the year. Personal Care is still growing. It's up about 6%. There we see again like we did in the first quarter a slight shift, right? We're seeing a lot more in hair care and sun screen demand, as people are out vacationing, and obviously, lower around the hand sanitizer and those types of products. So, again, we're encouraged by the personal care side. Household is down. But household is down primarily and that's where the big tooling sale came last year on a new introduction product that we had. And then, we do have some disinfectant cleaners that are also down as you might expect similar to what the hand sanitizer is in the personal care.
Ghansham Panjabi: Got it. Very helpful. And then for my second question as it relates to just global consumer elasticity and the enormity of inflation that everybody is facing and the choices that are being made and some of your customers are talking about, elasticity, which is a very different message from three months ago. Just curious as to what you're seeing from a real-time standpoint as it relates to new product development, have things slowed. And if you could just give us some insight into which category specifically may have slowed or maybe everything is stable. Thank you.
Stephan Tanda: Yes. I mean let's start with pharma, which is about 40% of our business there. We don't see any impact. And in fact, we see a very strong order book, both in prescription and consumer healthcare. In consumer healthcare, the cold and cough is back, as I mentioned in part also, because Omicron presents symptoms that are more cold and cough like. And so basically, it doesn't apply there. Then on the Beauty and Home side, clearly, right now, they're feeling pent-up demand. People are out and about again traveling and -- right now, we don't see a lot of price sensitive in the luxury and prestige category. Clearly we're on the look out what's going to happen in masstige as inflation bites on consumer wallets. On Food, I think there we do anticipate what we've seen in previous slowdowns, rotation to larger pharma, the rotation to club store type setups. Not all of them have the high-quality closures with our raw demand and down-trading to private label. And again, that's not a one-for-one while we supply private label not all of these closures are of the same quality as prime end closures. So, you will probably -- or we anticipate there could be some impact there in addition to just the demand pattern that we talked about earlier.
Ghansham Panjabi: Okay. Thank you, Stephan and Matt, congrats again.
Matt DellaMaria: Thank you, Ghansham.
Operator: Our next question comes from Adam Josephson of KeyBanc. Adam, the line is yours.
Adam Josephson: Stephan, Bob, good morning, and I'd just like to echo Ghansham's comments Matt that it's been a pleasure and a privilege working with you all these years. So thank you for everything.
Matt DellaMaria: Thanks Adam. Thanks.
Adam Josephson: Bob -- hey, thanks, Matt. Bob, a couple of questions on guidance. Excuse me, one on guidance. But firstly, if I look historically, your fourth quarter earnings are typically lower than your third quarter earnings for seasonality reasons. Is there anything -- I know you don't guide to 4Q, but is there anything this year that might be different than the normal historical seasonal pattern whereby earnings typically are lowest in the first and fourth quarter.
Bob Kuhn: It's hard to say. I mean this is -- we are in unusual times, right?
Adam Josephson: Yes.
Bob Kuhn: So, anything can really happen. But I think the biggest factor that I see is that $0.05 that Stephan referred to that we baked into Q3, we're not expecting anything like that in Q4. Although, as Stephan mentioned as well we're going to see the new labor rates kick in, in Q1. So you do have that on the horizon that I can see between Q3 and Q4. We'll have to see what currency is going to do, right? I mean, if you look at it that's $0.08 just comparatively with our Q3 results of last year. So you take that all in you got the $0.08 and the $0.05 for Q3 that's $0.13. Now last year's euro rate in Q4 was starting to come down. So the impact assuming we hold at 1.02 [ph] is going to be slightly less but there's still going to be a pretty big delta. So for me those are probably the biggest factors that I see that could influence the Q4. As far as volume demand and anything else, the pharma business as Stephan said both the Rx and the CHC business looks really strong for the remainder of the year. I haven't gone back and looked at what that has been in past fourth quarters but that's one thing that looks really solid for Q4.
Stephan Tanda: And then you have kind of the outlier scenarios. What if there is an additional variant pickup or what that does -- can be both positive and negative depending on how it plays out. And then, of course, there's the wild card of energy upset in Europe beyond what we continue at this moment.
Adam Josephson: No, I appreciate that Stephan. And Bob one more in terms of your guidance range. So I think the last two quarters, it's been wider than it used to be. It's been a $0.10 range, whereas, before then it was an $0.08 range. Correct me if I'm wrong there. Are you thinking about this as the new width of the range just given how uncertain just about everything is, or do you view this as temporary and you want to get back to an $0.08 range. Any thoughts you've had along those lines?
Bob Kuhn: Yeah. I mean I would love to get back to a tighter range because a tighter range means there's a little bit more certainty on the horizon. So, yeah. No I think the $0.10 range that we've kept for Q3 is really indicative of the uncertainties that that are surrounding us right now but I would love to be able to get back to an $0.08 range in the near future. That just means that things are becoming more certain and predictable.
Adam Josephson: Yeah. And Bob just one last one on the labor tightness particularly in the US. Can you help us with how long it's been this bad for? Is it getting any better? Is it getting worse? What are you seeing on the horizon? Just any better understanding of what's going on there would be helpful. Thanks very much.
Stephan Tanda: Yeah. Let me take that Adam. I would say, it's certainly been the worst earlier this year. But if you talk about uncertainty, we've certainly been surprised how persistent this has been. And it's certainly been worse in Q2 than we thought when we guided. And then other factors were better. I would say it is getting better. I think on the last earnings call I said on any day we are missing 20% of the workforce in the Midwest. Now it's probably around 15% and dropping a bit. A slowdown in the overall economy may help, but that's certainly the picture. And it is us, of course, in two ways. One is just the inefficiency of manufacturing the constant rescheduling lower yields. But secondly, also with new sales opportunities, because if you have lead times that are not satisfactory you missed that revenue. It is getting better, but it's getting better at a slower rate than any of us would like to see.
Adam Josephson: Thanks very much, Stephan.
Operator: Our next question comes from Justin Lin of William Blair. Justin, please go ahead.
Justin Lin: Hi, good morning. When you talk about the cadence of your pharma growth across the four business units for the rest of the year and as we start seeing some tougher comps in certain markets and I guess what are you saying about the Pharma margin progression for the coming quarters?
Stephan Tanda: Yeah, we really don't guide to the detail, but qualitatively, we are very comfortable with our 6% to 10% range for the segment. And then when you look at where we are versus 2019 prescription is pulling even with 2019 and certainly we'll finish the year well ahead of 2019 kind of getting back to that 8% kind of growth rate over the long-term. And Consumer Healthcare, clearly has a very strong rebound and continued growth now. We're well ahead of 2019 levels already and expect a strong second half. Injectables is already showing great growth on tough comps. So as we're bringing on more capacity, we feel very good about the pipeline as well as the mix of the pipeline, as we shift more and more of our sales towards premium product [ph], if that capacity comes on stream. And for us we did not -- we did participate a little bit in the COVID vaccine, but for us COVID with respect to injectables was really all about establishing a much broader visibility on that business and its capabilities which has been good for that pipeline. The one business that will have a very tough comp in quarter four is of course our active material solutions because we had a big business in at home COVID tests. And right now we don't see that repeating, but we're talking pretty far out. Now as you heard in my prepared remarks, we feel very good about the growth prospects of our pharma business. It's hitting on most cylinders again and we see good acceleration. A part of that is just because for prescription the comps are both easy in the first half, but we see continued pulling ahead here in the second half. And yes, overall, we feel very good about the growth across all divisions.
Justin Lin: Thank you. That's really good detail. And I'm going to zoom out a little bit. You touched on your pharma project pipeline. Can you just elaborate on that a little bit more and maybe highlight the opportunities you're most excited about in the foreseeable future?
Stephan Tanda: Yeah. We really cannot disclose individual projects. We tried to give you a sense that both the number of opportunities and the risk weighted value of the pipeline keeps going up. We talked earlier that clearly emergency treatment, central nervous systems is a great growth driver in addition to allergic rhinitis in the prescription area. In consumer health care, it's really all of the above. We have decongestions, we have ophthalmic, we have dermal treatments and significant geographic growth opportunities in consumer health care. In injectables, it's biologics. Biologics is really driving the pipeline. We are now close to 40% of the sales in injectables being biologics and climbing. And in active material solutions, it's just a field that keeps surprising us in terms of problems we can solve for customers including for oral solid dose drug deliveries, especially drugs that are a bit more sensitive to being exposed to oxygen or moisture, depending on the drug. So all of these things go in the pipeline and the fact that we have now a much more capable -- service capability including trainers, training devices, it allows us to engage much earlier in the development cycle with our customers, make money on the services and then, obviously, have the device of choice. The other one we continue to be excited about is digital therapy. So we see projects being in the pipeline, contracts being signed. While this is a drag on earnings at the moment, we could certainly see that reversing over the coming years.
Justin Lin: Appreciate that detail. Thank you, so much.
Operator: Our next question comes from Gabrial Hajde of Wells Fargo Securities. Gabrial, please go ahead.
Gabrial Hajde: Stephan, Bob, good morning. Matt, echo what everyone else has said, pleasure working with you.
Matt DellaMaria: Thanks, Gabe.
Gabrial Hajde: I haven't heard much about the drug grading facility in France. And I was curious, if you can kind of give us an update of where that sits and maybe remind us kind of the objective there. I know it was going to enable you better service your customers on time and full delivery stuff like that, maybe expand some of your capabilities there. But just, your ability I think there was a little bit of plant consolidation going on there too. So just, where we're at with that and when we can expect that to contribute to beauty and home.
Stephan Tanda: Yes. Good morning, Gabe. Yes, so this is a project that really -- I think, it's unprecedented in that part in that region where we have five very small facilities grouped around the village where we make this high-end decorating production or for the lack of the better word that you see in high-end product. And this is really the calling card. Now doing this across five sites, shipping products back and forth in the back end of the van, so to speak, through the numbers [ph], just isn't efficient and contemporary. So we are consolidating that into a state-of-the-art facility that will open in the spring of next year. Our customers are very excited about it. They see the potential in it. And I would even lean out the window saying, some of the win rates that you see is that, people see, hey, Aptar is really jumping on the next generation here and committed to this. In addition, this is a very sustainable facility. It has a much lower carbon footprint than of course five individual facilities plus the transportation, so it kind of kicking off that new next innovation wave for us. And yes, it is a significant investment, but we are very confident that this will pay off.
Gabrial Hajde: All right. Thank you. And then I was curious. There have been some articles out there, on nasally Delivered vaccines. I think in the past you guys really haven't talked about that much in the way in terms of opportunity for you. I'm just curious, if there's anything in the development pipeline that is different today than it was before. Or we should just not get that, very excited about it?
Stephan Tanda: Well, like everything in pharma things take many, many years. So a lot of these are in early stage clinical trials using sometimes very rudimentary devices. That has nothing to do with how it eventually would get commercialized. So yeah, if you're in that part and you finally have a candidate that moves to Phase 3 and looks good you kind of look for a commercialization and investor partner which got experience in this field. So we are aware of these. I cannot get into where we are participating in that. But clearly that will be a very exciting prospect.
Gabrial Hajde: Great. Thank you.
Operator: Our next question comes from Angel Castillo of Morgan Stanley. Angel, please go ahead.
Angel Castillo: Hi. Thanks for taking my question. Just wanted to quickly circle back discussion around recession that you mentioned just change for the portfolio from restructuring as well as pharma being better and a number of end-markets perhaps being closer to the low-end of where they should be. So as you think about recession planning or just scenario analysis internally? How would you kind of frame the potential downside to sales or EBITDA from current levels based on everything that we have?
Stephan Tanda: Yeah. What we said basically is, if you look at how we did in 2008, I think -- that is a good guidance with the one exception that back then pharma used to be 20% of the company. Now it's 40% of the company top line. And of course we all know much more bottom-line. So the things that are in a classical downturn, you will see down trading. And we talked about this early in the call, especially in the food area to more club stores to maybe less premium format that really impact us a little bit. If masstige fragrances, are more impacted, if people travel a lot less you will see impact on beauty. No question about it. But it will be a muted impact certainly something for the overall company we can manage. The COVID downturn if you can call it that certainly wasn't a typical pullback because it's almost like a rifle shot targeted our prescription business, our consumer health care business and now that's behind us. But those things will keep going in a normal recession. Everybody takes their drugs at breakfast, lunch and dinner. So we are fairly resilient. Now, having said that, we're not complacent, we very much look at costs look how we can pull further corporate services into shared service centers streamline the back office further invest in automation to lower cost in the plants and so on. So, we're not done with that at all. And we are very aware of what's coming in terms of potential slower demand plus a higher cost that we again discussed earlier and working hard to find the productivity to mitigate some of this impact. 
Angel Castillo: Got it, that's helpful. Thank you. And then I want to touch on sustainable solutions. Wondering if you could give us an update on how are you seeing the uptake from a consumer standpoint in terms of -- or your customer standpoint in terms of receptivity to sustainable solutions and in particular if you've seen any shifts in that dynamic as we get closer to the years against targets for us. But at the same time perhaps customers being more price sensitive with the ongoing inflation. So, curious what you're seeing there. 
Stephan Tanda: Yes, it's really not one answer. I mean first of all we're very much focused and proud of the work we're doing with our own operations. And you see that in our sustainability report and then the recognition and ratings we get. And we will continue to drive that. And that is very important because it's not only that it's the right thing to do but most of our brand new customers say, hey you get it you are on the table a real important partner to us because you get it and when we need to think about our Scope 3 emissions we can count on that to help us with that. That's number one. Number two. Clearly, recycled content, recyclability, higher PCR content is important, but where, in which country, to which brand varies greatly. It won't surprise you that in some European countries this is a lot more hot topic than it is in some other countries. So, it varies greatly, but we are at the ready adding products with up to 100% PCR content having products that a mono-material. There's very much in demand for example our mono-material pump. And I will not hide sometimes we're a bit disappointed that people think they're done when they make their primary container recyclable and the dispensing cap or a pump then doesn't get as much attention. But clearly if customers are serious about the commitments they've made they also have to pick up more of the sustainable dispensing devices. But we are ready to go here and continue to make investments in those innovations.
Angel Castillo: Thank you and wishing you all the best, Matt.
Stephan Tanda: Thanks
Matt DellaMaria: Great, thanks Angel.
Operator: Our next question comes from Daniel Rizzo of Jefferies. Daniel, please go ahead. 
Daniel Rizzo: Hi. Just to talk a little bit more about Sustainable Solutions. Is it mostly outside of pharma, I mean are pharma products using recyclable material or sustainable products as well? 
Stephan Tanda: Yes. This is a great example, where we leverage things across the whole company. Clearly, initially this was a big topic for branded consumer goods, but it has migrated and is migrating into pharma and you would not be surprised that the first place it is is consumer health care. So our consumer health care customers are more and more demanding fully recycled mono-material solutions, which of course we have at the ready because we develop them for the consumer products already. But also in prescription drugs, they will be in the next few years the shift in propellant from the current generation to one that has an even lower greenhouse gas and ozone-depleting impact, which is very important to our customers. So I would say, it is -- it started on the consumer side, but it is rapidly moving into the pharma space. 
Daniel Rizzo: Okay. And then are we seeing a restocking tailwind, or are customers being a little more cautious given or they use [ph] volatility particularly in Europe? 
Stephan Tanda: So, through the first half we do not see a significant restocking situation here or there. But clearly, given the order books we have and the lead times we have customers kind of sell the stuff as soon as they get it and fill it whether so the demand for the second half of the year, will go to more normalization. We'll see. But currently, we cannot say that we see significant restocking. 
Daniel Rizzo: Okay. All right. Thank you very much.
Operator: We have no further questions on the line. So, I'll hand back to Mr. Tanda. 
Stephan Tanda: Very good. Thanks, for all your questions. We look forward to see you on the road. 
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.